Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Tsakos Energy Navigation Conference Call for the Third Quarter 2024 Financial Results. We have with us Mr. Takis Arapoglou, Chairman of the Board; Mr. Nikolas Tsakos, Founder and CEO; Mr. Paul Durham, Chief Financial Officer; Mr. George Saroglou, President and Chief Operating Officer; and Mr. Harrys Kosmatos, co-CFO of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise that this conference is being recorded today. And now, I pass the floor to Mr. Nicolas Bornozis, President of Capital Link, and Investor Relations Advisor for Tsakos Energy Navigation Limited. Please go ahead, sir.
Nicolas Bornozis: Thank you very much, and good morning to all of our participants. I am Nicolas Bornozis, President of Capital Link and Investor Relations Advisor to Tsakos Energy Navigation. This morning, the company publicly released its financial results for the nine months and the third quarter ended September 30, 2024. In case you do not have a copy of today's earnings release, please call us at 212-661-7566 or e-mail us at ten@capitallink.com, and we will have a copy for you e-mailed right away. Please note that parallel to today's conference call, there is also a live audio and slide webcast, which can be accessed on the company's website on the front page at www.tenn.gr. The conference call will follow the presentation slides, so please we urge you to access the presentation slides on the company's website. Please note that the slides of the webcast presentation will be available and archived on the website of the company after the conference call. Also, please note that the slides of the webcast presentation are user controlled, and that means that by clicking on the proper button, you can move to the next or to the previous slide on your own. At this time, I would like to read the safe harbor statement. This conference call and also the presentation of the webcast contain certain forward-looking statements within the meaning of the safe harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties, which may affect TEN's business prospects and results of operations. And before passing the floor over to Mr. Arapoglou, the Chairman of Tsakos Energy Navigation, I'd like to congratulate the company for being awarded Tanker Operator of the Year after the inauguration of the first private Naval Academy in Greece that shows the efficiency of the company's operation and also its focus on the welfare of the crews. And with this, I would like to pass the floor to Mr. Arapoglou, the Chairman of Tsakos Energy Navigation. Please go ahead, sir.
Takis Arapoglou: Thank you, Nicolas. Good morning and good afternoon to all. Thank you for joining our call today. In a market, admittedly, of its earlier peak, yet still with firm business and geopolitical fundamentals, TEN continues to be sustainably profitable, steadily generating equity, maintaining its healthy cash position, increasing its dividends by 50%, offering a substantial dividend yield on today's price and continuously renewing and increasing its fleet with state-of-the-art vessels. The company's industrial model characterized by nearly $2 billion of forward contracted accretive revenue and proven operational excellence and shows the continuation of its stable sustainably profitable performance and the rewarding of its shareholders, handling market cyclicality in an efficient way. So, congratulations again -- once again in order to Nikos Tsakos and his management team on this performance and best wishes for more successes going forward. And with this, thank you, and over to Mr. Nikos Tsakos.
Nikolas Tsakos: Thank you, Chairman, and good morning and good afternoon to all our listeners. It has been a positive nine months, and I think it has been a nine-month milestone growth period for the company. We have been given the ability to reallocate some of our older assets, monetize them and move forward with state-of-the-art new vessels -- 21 new vessel program, acquiring five vessel company earlier in the year, taking delivery for dual-fuel vessels and we're still with 12 vessels to be taken delivery starting from April '25. We're going to be taking over three or four vessels within 2025. So, it's a very active period for the company, and we've been able to be active, increase liquidity, significantly pay down debt, continue and increase our dividend policy, both for the common and for the preferreds. And we are facing an environment where there is a huge appetite for our services by our major clients. About 60% of our business is being provided by six major energy companies. I think Exxon is in the forefront, followed by Equinor, Total, BP and Shell, all of them first-class names to -- we were very proud to be partners in energy transportation going forward. There is a big appetite for good quality ships. We are at the crossroads of technology change in our business. And the prospects, the medium- and long-term prospects of the business are positive, I think, as we have stated in our press release. However, we, as a company, as the Chairman said, we have been trying to take the edges out of cyclicality and I think we have been successful for the first 31 years so far, never stopping paying dividends through difficult -- even from difficult markets. And I think our President is going to take us all the cycles we've been through, but always coming out stronger as a company in every respect. However, our share price, which peaked sometime in the summer, there has been quite a lot of profit-taking from that, which I think we are very positive to see people because we have been a company that back in 2019, together with the whole industry, were trading in single digits. So, we're almost ten-folded it. There's a lot of profit, but we still believe that we are trading not more than 2 times or 3 times earnings where all our clients to whom we represent have an average of at least 10 times earnings. So, we do not expect to immediately trade at 10 tunes earnings, but at least double of where we are today, I think it's a fair valuation, and we are aiming to achieve this by explaining the different model, the industrial model of TEN, which we are actually an industrial mover of energy for the major oil companies. As I said, milestone 2024 so far, a big growth, very exciting prospects going forward. The business -- at least close to $2 billion of new business coming in. We have significantly increased our rates from all the 30 vessels we renewed with the chartering department. And with that, I will ask our President to give us a quick overview of what's going on with the company. Thank you. George?
George Saroglou: Thank you, Nikos, and good morning to all of you joining us for our earnings call today. 2024 continues to be a good year for tankers and for TEN for the same reasons that played out for the last two-and-a-half years. We have -- we are one of the largest and most established energy transporters worldwide. We had transported 460 million barrels per day in 2023 safely.
Nikolas Tsakos: That's Slide #3?
George Saroglou: Slide #3, yes. That's about 23 days of U.S. consumption or 5% of global oil consumption. We have celebrated 31 years in the public markets. And since our listing in 2002 in the New York Stock Exchange, we have paid uninterrupted dividends to our common shareholders. We have built a big modern diversified fleet. We have developed an industrial shipping model. And we have one of the highest repeat caliber clients with ExxonMobil leading the way with 22% of the revenue, followed by Equinor, Shell, Chevron, TotalEnergies, BP and others. We have -- as we have embarked in our decarbonization journey and started our green energy program, we have -- we find ourselves in 2024 as one of the largest dual-fuel operators with vessels in the water. We have six LNG Aframax-powered vessels and being the carrier of choice of energy majors for their transportation requirements. We have -- we continue to fix vessels whose charter expires or book new business. And currently, the backlog that we have is $1.8 billion. This is minimum secured revenues as some, the majority of these fixtures have also some profit-sharing element, and these charters have an average duration of two years. Thanks to the fleet -- to our fleet modernity and the efficiency of our technical managers and their purchasing power, the economies of scale, we have one of the high -- very high fleet utilization in excess of 92% and we have a solidly -- a company built with very solid balance sheet. Our fleet fair market value is around $4 billion. We have low debt of $1.8 billion and we have 30 million common shares outstanding. And the Tsakos family and the management of the company are strong supporters with 30%-plus of the sales outstanding in them. Despite being a top-of-class operator, we have -- the valuation of the company is low -- very low. 2023, the earnings per share returned $9.04. And so, we trade at 2 times and -- a bit over 2 times earnings when our major clients trade at least 10 times earnings. Moving on to the next slide. We have been -- TEN was created in the aftermath of OPA 90, which is the regulation for the double hull -- for the introduction of double-hull vessels. Since then, we have faced six major crisis and we managed every time to come out of its crisis stronger and bigger. If we look at the fleet that we have built today in Slide #5, you see a very diversified fleet that caters to the needs of our clients, spanning from crude carriers to product tankers, LNGs and shuttle tankers. Today, we have a pro forma fleet of 74 vessels, 62 operating in the water and 12 newbuildings under construction. The red and the blue colored vessels in the slides denote vessels trading in the spot and period market with profit sharing, while the black colored vessels on fixed time charter. As you can see at the bottom of the slide, 31 of the 62 vessels in the water have market exposure, that's 50%. This is spot and vessels with profit-sharing arrangements. And 49 out of the 62 vessels in the water or 79% are in secured employment, time charters and time charter with profit sharing. The next slide basically shows our access to our capital markets. Grown the company since -- you see in blue the capital -- the common capital raising that we have in the red is with -- through the preferred shares. We have retired four series of preferred shares for $223 million. And we have used the capital markets as a growth engine for our fleet renewal. We have built an industrial model in Slide 7, as you can see, with the list of our charterers. As you can see, this is a blue-chip client base with the biggest client being Exxon followed by Equinor, Shell, Chevron and Total. We have -- on Slide 8, the left side of the slide shows you the all-in breakeven costs for the vessels on a net income basis. Basically, the time charter vessels serve to cover the expenses, the operating expenses, the finance expenses and all the other overheads that we have, while the spot trading vessels basically serve to -- for the upside and the dividend distributions to our shareholders. For every $1,000 increase in spot rates, this has a positive impact of $0.16 in annual EPS based on the current vessels in the spot market as of the nine months of 2023. Managing debt is an integral part of the company's strategy and capital allocation. We have grown the fleet significantly with larger, more specialized vessels. The debt levels have remained more or less at a level that is very manageable. The net debt to cap currently stands at 44%. This shows the fuel -- the next slide, Slide 10, shows the fleet renewal and greenship growth. Since January 1, 2023, we have sold 13 vessels with an average age of 17.5 years and 1 million total deadweight ton and have replaced them with 21 vessels with an average age of 1 year and 2.3 million deadweight ton. This doubling in quality and the size of the fleet will help the company springboard the next growth phase. How do you think translate financially, Harrys?
Harrys Kosmatos: So, I guess I'll take you over the financials.
Nikolas Tsakos: Thank you, George.
Harrys Kosmatos: Thank you, George. I'll take you all the financials for the nine months and the three months results. So, during the first nine months of 2024, TEN operated 62 vessels, three more equivalent 2023 period, of which 11 underwent scheduled dry docking. As a result, the corresponding fleet utilization for the 2024 nine months was at 92.2% from 95.6% during the same 2023 period. As energy majors' appetite for term employment increased, emphasis was placed on attaining such secured revenue contracts to take advantage of the elevated rates offered and as a result, the mix between secure revenue and spot-related charters was revised. 82% and 45% fixed versus spot for the 2024 nine months as opposed to 77% and 54% for the 2023 equivalent period. In this backdrop and in a somewhat waning Chinese oil imports environment, something which lately seems to be reversing, TEN, in the first nine months of 2024, generated gross revenues of $660 million and operating income of $236 million, which included about $49 million of capital gains. Fleet operating expenses of $147 million increased in line with the larger number and size of vessels in the fleet after the various acquisitions and divestments during the nine-month period. Operating expenses per ship per day, however, was 3.3% lower from the 2023 nine months at $9,306, thanks again to efficient management performed at TEN's technical experts on shore and onboard the vessels. Time charter equivalent per ship per day during this period impacted by the aforementioned dry dockings and less days in market-related contracts settled at a still healthy $33,390, 3.6 times higher the above daily vessel operating expense rate. Reflecting all of the above, a net income of $157 million was recorded for the first nine months of [2027] (ph), generating EPS of $4.62. Adjusted EBITDA for the 2024 nine months was up $314 million. Interest and finance costs of $87.4 million during the 2024 nine months reflected the new loans for vessel acquisitions and new building deliveries as well as continuing elevated global interest rates. Despite the material drop in spreads, TEN has achieved due to its pristine track record on its debt obligations. However, this inevitable and controlled cost increase was to a large extent mitigated by about $4 million in reduced coupon payments on outstanding preferreds from the amount paid during the equivalent 2023 nine months and $5 million savings in forward bareboat hire from the repurchase of two Suezmaxes and leasing contracts in the summer of 2024. Cash at bank at the end of September '24 was $386 million, $9.5 million higher from the December 2023 level. And that is after having paid $258 million for common and preferred dividends for growth projects and the exercise of the above leasing repurchase options. Now, the results for the third quarter of 2024 were equally attractive, considering that three out of the 11 vessels that underwent dry docking happened during this quarter. A fleet of 62 vessels as opposed to 58 in the third quarter of 2023 generated gross revenues of $200 million and operating income of $57 million compared to $187 million and $53 million for the third quarter of '23, respectively. Neither of these two comparable quarters have gains or losses from vessel sales. Fleet operating expenses of $49 million for the third quarter of 2024 were $1.6 million lower from the 2023 third quarter level despite the three dry dockings mentioned above and the larger fleet size, both in terms of numbers and deadweight. Operating expenses per ship per day were at $9,188, almost $1,000 lower than 2023 third quarter number. Time charter equivalent per ship per day closed the quarter 3.5 times above the OpEx number, up $32,539, about $1,200 higher compared to last year's third quarter. The resulting net income of $26.5 million, producing earnings per share of $0.67 reflected the $5 million increase in depreciation and amortization cost in the larger fleet entailed. Adjusted EBITDA finished the quarter at $100 million, $8.5 million above the level of the 2023 third quarter. As of September 30, 2024, the fleet's fair market value was about $4 billion, and total debt $1.8 billion, corresponding to the higher fleet size as a result of four dual-fuel LNG-powered Aframax newbuildings and five more second-hand vessels entering the fleet. At the same time, net debt to capital remained at a very comfortable 44%. In ending and supported by the aforementioned results, TEN will pay a second semi-annual common stock dividend of $0.90 on December 20, 2024, bringing the total distribution for 2024 operations to $1.50 per common share, 50% higher than 2023 amount, yielding approximately 7.5% on today's price. And with this, I'll turn it back to Nikos for the closing remarks.
Nikolas Tsakos: Thank you, and thank you for describing a very busy period in a very efficient and timely way. I think what is important is that we are maintaining our industrial energy transportation model. We try to take enough advantage of the upside when the market is, but we always -- and I think what is important of our long and continuous dividend payment, if you go back to the expenses slide, and I think this gives a very good description of -- yeah, there you are. This is Slide #8. I mean, the way we have been able to go on for the last 31 years, we make sure that our first-class charters who are more than, I think, 60% or 70% of our income comes from long-term employment on profit-sharing arrangements. They cover all and when I say all our obligations, including depreciation, our interest, paying down -- depreciation and debt repayment for us is very similar because of the modernity of the ships that we have. So that's how we fare. I mean, we might not be the most exciting shipping company out there, but we are an industrial company. We want to keep TEN for the next generation, a bit like the Patek Philippe advertisement. You never own one, you keep it for the next generation. And that's what we are here to do. And that has kept us going for 30 years, been able to pay dividends for 30 years. Our peer group, which is first-class companies out there, which we are proud to be associated and operate in the same environment. All of them have a different strategy. And we are all for diversity. Otherwise, it would have been a very, very boring peer group if we all did the same. You have companies -- most of the companies out there, they focus in one segment of the energy transportation and although it's a very fragmented industry, they play a significant role, companies are in the VLCCs, other companies on Suezmaxes, other companies are just product carriers. We are for diversity. We are what they call, it sounds corny, One-Stop Shipping, but we are -- I mean, we have everything from VLCCs down to -- up to LNGs and up even higher to shuttle tankers and smaller product carriers. So, we do what our client is -- wants us to operate. We have a huge operating capacity. I think the biggest from the whole peer group, I mean, we actually -- we train our own crew in our academies. We are on-hands management. We are on-hands management also on the commercial side with offices around the world. We have academies in the Philippines. I mean we take shipping seriously. And that's why we are able to have these results through the cycle. I was very, very happy to see that our operating expenses in an inflationary environment with bigger ships had a 10% increase, and I think that is the decrease that -- and our income had increased. That is very, very complementary in difficult times. So, I believe we should be looking at closer to industrial or infrastructure company valuations rather than just the shipping valuations. I mean, we tend to go up and down together with our peer group, whether we have been able to work, we're trying to and we have been proven to be able to take out the edges of a cyclical market as much as possible. I'm sure there's better -- even better to do, but we always try to do better every day. So with that, I would like to open the floor, and all of us are here to answer any questions that you may have. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Poe Fratt with Alliance Global Partners. Please proceed with your question.
Poe Fratt: Hi, greetings.
Nikolas Tsakos: Hi, Poe.
Poe Fratt: If I could -- hi. If we can just sort of focus on the macro initially? Can you just sort of give me an idea of sort of how you're thinking about with the U.S. elections, the potential for tighter sanctions on Russia, Iran and potentially Venezuela?
Nikolas Tsakos: So, well, I have to be chosen as Secretary of State to be able to answer this, but just a poor Greek shipowner. But I mean, as long as it affects us, I think we are -- in general, shipping would -- flourishes when we have open borders, open seas and there are no sanctions. However, we are in a situation where 25% of the world fleet, I mean that's a huge world tanker fleet, is what we call a grey fleet, which means that we have not -- the remaining of us, the 75% that, of course, do not participate in any sanctioned business are able to take advantage of the first-class business without the competition of all the ships undercutting the market. So, I think sanctions right now are working for the benefit of first-class companies in our peer group because we do not have -- I mean, the average age of what they call the grey fleet is above or close to 20 years. So, we don't want to have those ships again in the Med or in the Caribs or in the Far East undercutting good quality responsible shipping operators. So, in a sense, it has a positive. If -- and on top of that, of course, we are not navigating. We'll never put our seafarers at risk, and our charterers has never, never insisted. I mean the quality of the charterers we operate, never insisted for us to ever cross the Red Sea if we didn't feel -- or our captains do not feel safe and they do not feel safe. And I think I respect, that's why we're doing business with the top-tier clients. I know other colleague of ours that have been -- that actually charter ships to lesser concerns are continuously pushed to cut corners and try and put their seafarers in danger and cross the Red Sea, and we had incidents that could have been environmental disasters are also with human loss, but this is something TEN does not do. Now, if with the magic stick one day, we can put the world in peace, I think that will be even better for shipping. We would have gotten rid of a big number of older ships that are really run down so they could not charter to major oil energy companies again. And we will have more places to -- there will be a huge construction, hopefully, of -- in the Black Sea of Ukraine and Russia. And if there is peace in the Middle East, which there is rumor there is, there will be huge reconstruction there. So yeah, a peaceful world is a much better world for shipping. Sorry for the long answer.
Poe Fratt: No problem, Secretary of State. When you look at it, Nikos, would the potential tighter sanctions, if they did restrict the flow of oil out of Iran, especially, does the dark fleet get -- or the darker grey fleet, as you say, do you think they get pushed into retirement, or is there potential for some of those to get cleaned up and move into the unsanctioned fleet?
Nikolas Tsakos: Well, I think a big part of it will not be able to re-enter -- or the majority of those ships will not be able to re-enter the competitive market. I mean, energy shipping, LNG and tanker and LPG and of course, oil are very, very under tight environmental concerns from our clients. I mean every ship has to be inspected every six months in order to -- and if it's not in a perfect state, it will not be touched. So, I think those ships will take a very long time to be in a perfect state and it won't be worth for it because there will not be a reason. So, I think we will see increase of scrapping of all the tonnage.
Poe Fratt: Okay. Great. And then, can we just talk about the newbuild program. I think in your 6-K, you indicated that you had about $110 million to spend in CapEx for the second half of the year in 2024. Can you give me an idea of how much was spent in the third quarter? And then, how much will be spent on the newbuild program in the fourth quarter?
Nikolas Tsakos: Harrys does the spending. I do the earnings. So, Harrys?
Poe Fratt: Okay.
Harrys Kosmatos: Yeah. Poe, so the total program was just over or approximately $950 million. The remaining for this year, just to give you kind of more updated figures because from the 6-K, things have changed in terms of new loans acquired and the equity installments paid. So, we still have for the remainder of the year to pay $21.5 million, of which about two-thirds of that will be bank debt and the rest, call it, $8 million, $9 million of equity. The remaining, we are still discussing with various banks in raising commercial finance. And today, on the 12 vessels, we have kind of agreed, signed on three, and we are very close on signing debt arrangements for the majority of the others. As you can imagine, the payments would alter. But to give you kind of a high-level answer for -- so as I said, approximately $21.5 million remaining for -- in the fourth quarter. And for 2025, we assume -- we expect and assuming those bank loans will come forth. We are very close and agreeing approximately just over $100 million of equity payments that we expect assumed to come from our own coffers, if you like, for 2025. So, it all depends on the various installments that we need to pay and sometimes they slip into the next quarter or the year following.
Poe Fratt: Yeah. I was trying to focus on what the total installments were, irrespective of how you finance them. So, Harrys, could you -- how much did you spend in the third quarter?
Harrys Kosmatos: In the third...
Poe Fratt: Okay. Yeah, maybe we could do a call later this week that would be helpful.
Harrys Kosmatos: Yes, I can -- because I have -- each vessel has a different kind of pattern. So, we can have it offline to sort of give you kind of a general and down to the dollar detail on the impact number.
Poe Fratt: And then, in the second quarter, there was a little bit of twist that's on the financials as far as now -- you have time deposits, can you -- do you have the time deposit figure for the third quarter? I think it was $94 million in second.
Harrys Kosmatos: Approximately...
Nikolas Tsakos: [indiscernible] time deposits. We try to keep the majority of our cash rolling and adding interest on a daily basis. So, we have an average interest income of more than 4%, and we're 5% for -- so we always have time deposits and our money -- the money, the $400 million or the $380 million we have is earnings is a 4% to 5% interest on a daily basis, regardless if it's time deposits or not. So, the majority of it, you can consider it but is on time deposits.
Poe Fratt: Understood. Okay, great. Thank you so much.
Nikolas Tsakos: Thank you, Poe.
Operator: [Operator Instructions] Our next question comes from the line of Climent Molins with Value Investor's Edge. Please proceed with your question.
Climent Molins: Hi, good afternoon. Thank you for taking my questions. I wanted to start by asking about your two Suezmax newbuilds to be delivered throughout 2025. It seems you recently secured a contract for the second one. Could you talk a bit about the duration in terms of the contracts on these two vessels?
Nikolas Tsakos: Yes. I mean these are three- and five-year contracts for those ships to one of our biggest clients, we're not supposed to spill all the beans here over the call, and at very, very accretive -- the minimum. If you look on Page 8 where we have our all-in breakeven. I think our minimum rate for the next three to five years is almost twice our breakeven. So that's -- it's going to add a significant amount of net income, cash flow and for us, who are big shareholders, dividend going forward.
Climent Molins: That's helpful. Thank you. I also wanted to ask about dry docking days during the quarter because that weighed on utilization. But on top of that, there was also some commercial off-hire. Could you talk a bit about your dry docking schedule going forward, both for Q4 and for 2025? And secondly, we are now two months into the fourth quarter. Do you expect incurring commercial off-hire as well during the quarter?
Harrys Kosmatos: Okay. So, in terms of dry-docking days, I mean, it's -- we usually assume anywhere between, let's say, on average about 30 days, 35 days. And we expect in the fourth quarter to have three to four vessels undergoing scheduled dry dockings.
Climent Molins: That's helpful. And for 2025, how many vessels -- sorry.
Harrys Kosmatos: It's plus one, because one, we'll have to go dry dock for the vessels on bareboat. So, we will not incur that cost. So, three or four vessels that will -- there are special survey, we will incur the cost and one, it will not have any bearing on us. Sorry, and your other question?
Nikolas Tsakos: For next year?
Climent Molins: And 2025 -- yeah.
Harrys Kosmatos: And 2025, it is estimated approximately 10 vessels will have to undergo special survey dry docking.
Climent Molins: Makes sense. And then, on the commercial off-hire for Q4?
Harrys Kosmatos: Sorry.
Climent Molins: On commercial off-hire for Q4, do you expect to incur any off-hire days on top of the hire for dry docking?
Nikolas Tsakos: I think we will be in the same utilization period.
Harrys Kosmatos: I mean, considering that we had like 92% because of all we said dry docking. So, we would expect that in the fourth quarter, utilization will be higher than that. So, no additional off-hire days because of our vessel operations, we do not envisage any surprises.
Climent Molins: Makes sense. Final question from me. This one is more on the modeling side. General and administrative expenses increased substantially both quarter-over-quarter and year-over-year. Could you talk a bit about the drivers behind this and whether we should think about it as a one-off or not?
Nikolas Tsakos: Yes. This is a one-off because we have, as I think you have seen an incentive plan -- share incentive plan for our personnel. So that is taking -- so it's really not a cash, it's not really a cash increase. It's just an increase that we have to take in consideration for the incentive plan. So, it is a one-off.
Climent Molins: So, for Q4, we should expect G&A to revert lower then?
Nikolas Tsakos: Yes.
Climent Molins: Makes sense. That's all for me. Thank you for taking my questions.
Nikolas Tsakos: Thank you.
Operator: Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Tsakos for any final comments.
Nikolas Tsakos: Well, thank you for listening in. I hope that our revamped presentation keeps you a little bit more animated with the slides and I think that the slides are going to be on so -- you can study a bit more the company. We still believe that we are a very good opportunity, a buy opportunity. We, as management, personally whenever we're allowed, we're buying ourselves, never sold one. I know that the share price has moved from single digits up to $30, so many people are taking profits. But I think there is a significant upside, and the company is trading at a very -- I mean, we are actually trading at a multiple that predicts that we're going to be out of business in the next six months. We hope with $1.8 billion forward and a lot of new ships coming, this would not be the case. So, looking forward to be able to get the share price -- make the share price great again, as someone said, and move up forward. The team will be in the United States early December, doing a non-deal roadshow, so we would love to be able to see you either face-to-face or Zoom call on your side for those that are in the United States. And with that, I would like to thank you and wish you a very happy Thanksgiving to everybody. And I hope our CFO's present of a big dividend would help Thanksgiving and would not steal Christmas. Thank you very much. Thank you.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.